Operator: Please standby, your program is about to begin. [Operator Instructions] Good day everyone and welcome to today's Clean Energy Fuels First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, you will have the opportunity to ask questions during the question-and-answer session. [Operator Instructions] Please note that this call may be recorded and I will be standing by should you need any assistance. It is now my pleasure to turn the conference over to Robert Vreeland, Chief Financial Officer. Please go ahead.
Robert Vreeland: Thank you, operator. Earlier this afternoon, Clean Energy released financial results for the first quarter ending March 31, 2025. If you did not receive the release, it is available on the Investor Relations section of the company's website at www.cleanenergyfuels.com, where the call is also being webcast. There will be a replay available on the website for 30 days. Before we begin, we'd like to remind you that some of the information contained in the news release and on this conference call contains forward-looking statements that involve risk, uncertainties and assumptions that are difficult to predict. Such forward-looking statements are not a guarantee of performance and the company's actual results could differ materially from those contained in such statements. Several factors that could cause or contribute to such differences are described in detail in the Risk Factors section of Clean Energy's Form 10-Q filed today. These forward-looking statements speak only at the date of this release. The company undertakes no obligation to publicly update any forward-looking statements or supply new information regarding the circumstances after the date of this release. The company's non-GAAP EPS and adjusted EBITDA will be reviewed on this call and exclude certain expenses that the company's management does not believe are indicative of the company's core business operating results. Non-GAAP financial measures should be considered in addition to results prepared in accordance with GAAP and should not be considered as a substitute for or superior to GAAP results. The directly comparable GAAP information, reasons why management uses non-GAAP information, a definition of non-GAAP EPS and adjusted EBITDA and a reconciliation between these non-GAAP and GAAP figures is provided in the company's press release which has been furnished to the SEC on Form 8-K today. With that, I will turn the call over to our President and Chief Executive Officer Andrew Littlefair.
Andrew Littlefair: Thank you, Bob and I hope the sound is okay. I'm in Washington, D.C. and I've been up here working to spread the word on RNG. Bob, thanks. I'm pleased to report we had a very solid results for the first quarter of the year. In the quarter, we sold 51 million gallons of renewable natural gas, generated $104 million in revenue and $17 million of adjusted EBITDA. We finished the quarter with $227 million in cash on our balance sheet, a $9 million increase since the start of the year. Our RNG sales volumes were lower compared to the first quarter of 2024. This is driven by lower supply volumes from our third-party RNG producers. Some of our producer partners were impacted by weather and other operational events. These issues are seasonal in nature and we expect to rebound over the remainder of the year. Importantly, we did not see any material decline in demand from our fueling customers despite the market uncertainty regarding the economic impact of tariffs. Our fuel volume is underpinned by steady demand from our fleet customers in the refuse, transit and trucking sectors. In recent months, there's been a lot of attention on tariffs and renewable energy policy. I believe that our business and product, renewable natural gas, are both well positioned. First, tariffs have minimal direct impact on our business. Our network of fueling stations are located in the U.S. and Canada and all of our RNG production facilities are located in the U.S. The vast majority of equipment and materials for our construction projects has already been procured. In fact, earlier this year, we moved compressors equipment from inventory in Canada to our facility in Wyoming as a precaution. Unlike other renewable energy supply chains, our RNG is produced, transported and delivered to customers here in the U.S. We are maintaining our full year financial outlook and CapEx guidance provided on our last call which Bob will describe in more detail. However, we could feel some indirect impact of tariffs in that it creates uncertainty for our customers in the heavy-duty trucking sector. Potential impacts from tariffs on trucking supply chains, inflation and economic activity may affect our customers' business planning, including purchases of all trucks that would include their emission reduction initiatives like replacing diesel trucks with trucks equipped with the Cummins X15N and running on RNG. Current market dynamics may slow decision time lines for natural gas vehicle purchases but we strongly believe any delay will be temporary. And the merits of RNG for heavy-duty trucking remain very compelling. In fact, at last week's Advanced Clean Transportation Expo, we heard many speakers comment over and over that RNG is a low-carbon fuel with proven technology and infrastructure at a lower cost per mile than diesel. A parade of executives from a variety of fleets extolled the economic and environmental benefits of operating with RNG. An Amazon executive spoke about the total cost of operating their 3,000 heavy-duty trucks on RNG as well as being the only alternative available to help them achieve their climate pledge. Shippers like Unilever and carriers like Paper Transport agreed. The theme was so predominant that Erik Neandross, the coordinator of the expo attended by 11,000 people, claimed that natural gas fueling was having a renaissance as the alternative that is truly viable in the heavy-duty vehicle market. As we said on our last call, we expect early adoption of the X15N this year with a lot of singles versus home runs. Our station network and full suite of customer services are ideally suited to support fleets' initial purchases of trucks with the X15N and the expansion over time. In addition to the opportunities in the heavy-duty trucking, our other businesses continue to expand. We proudly serve over 69 transit agencies at 120 different sites and 175 refuse customers at 325 different sites across the U.S. and Canada. RNG has been dependable, clean, low-cost fueling solution for those fleets for years. As an example, we completed a new RNG station for our long-time customer, Burrtec, a large waste company in Victoria -- Victorville, pardon me, California, during the first quarter to accommodate an additional 60 trucks. Burrtec also contracted with us to add 50 trucks to fuel with RNG at another station we maintain for them. We're also expanding our relationship with USA Hauling, signing a contract to build another private station in South Windsor, Connecticut to fuel an additional 4 NG -- 40 CNG trucks. I told you about our success in converting existing customers from CNG to RNG. This allows the customer to dramatically and affordably reduce their carbon emissions while providing us with better margins on the fuel. Transit agencies around the country have taken the advantage of this opportunity. And recently, we did this for the station we operate at the Nashville Airport. We are just -- these are just a few examples of developments which occurred in the first quarter but highlighted the nature of our overall business and deep customer relationships. On the federal policy front, we continue to await various outcomes. While the alternative fuel tax credit expired at the end of last year, the Renewable Natural Gas Incentive Act was introduced in the House in March which, if included in the larger tax bill, could be retroactive to the beginning of the year. We are working closely with members of both houses to keep the RNG tax credit top of mind. The 45Z production tax credit is in the process of being finalized. We continue -- we included a minimal amount from these credits in our Q1 results and our 2025 financial outlook based on the initial guidance. But once the 45Z credit is finalized, it could contribute more meaningful to our results. RNG is a commercial transportation. As a domestically produced biofuel that converts waste into a low-cost, low-emission transportation fuel, we believe RNG fits well with this administration's priorities. In California, the Low Carbon Fuel Standard program updates remain in process. We expect more clarity in the coming weeks. As a reminder, these updates are expected to support higher credit prices over time which is necessary to support growth in the low carbon fuels needed to hit California's targets. Now, briefly turning to our upstream dairy RNG production projects. The 6 projects that have been operating are doing well and we are always working to improve production. We have 2 others in advanced construction, expected to be in service by the end of the year and have additional projects in construction through our development arrangement with Maas Energy with 3 projects likely to come online in 2026. In summary, our business is performing well. We are advancing our growth initiatives and we have strong balance sheet. We are confident in the stability and growth potential of our business and see multiple avenues for upside as some of these policy outcomes are resolved. That is why we resumed our share repurchase program in late March. We believe our shares are undervalued and this enables us to make repurchases while still maintaining ample cash to fund our growth. And with that, I will hand the call back to Bob, who will give more details about our strong quarter.
Robert Vreeland: Thank you, Andrew and good afternoon to everyone. And I agree, we did have a strong quarter, first quarter of 2025 with revenue of $104 million. And at face value, the $104 million is basically level with last year. And I know we have a number of variables within our revenues but the one for sure to keep in mind this year is that we do not have the Alternative Fuel Tax Credit in our revenue number because it expired. So last year, there was $5.4 million of Alternative Fuel Tax Credit in the revenue number for 2024. But in the quarter, we generated good, positive operating cash flows in the first quarter of 2025 which actually exceeded our capital expenditures. So net-net, as Andrew mentioned, our cash and investments balances grew from the end of last year. I'll start here on our GAAP earnings and I want to address a couple of items on the GAAP earnings. The first item is the planned removal of the LNG station equipment from various Pilot Flying J sites in 2025. We discussed this on our last earnings call and included the accelerated depreciation in our 2025 outlook. I'm just reporting here that we are proceeding as planned with that project and most of the accelerated depreciation expense was recorded in the first quarter of 2025. The remaining accelerated depreciation will be recorded over time through the end of our lease which is in August of this year. The second item is the write-off of our longstanding goodwill intangible balance. This non-cash write-off was purely based on our share price at the end of the quarter. Now I've included that charge, I've added that into the GAAP outlook for 2025 since it's in the books, if you will. These 2 non-cash items combined amounted to $115 million of our GAAP loss of $135 million in total for the first quarter of 2025. As a side note, the values of our remaining assets are well supported by our positive cash flows and are not directly tied to our share price. From a non-GAAP standpoint, our adjusted EBITDA for the first quarter of 2025 was $17.1 million compared to $12.8 million a year ago. These positive results were driven by continued strength in our fuel distribution business, including an increase in delivery of RNG to fleets at our stations and to our customers where we're also performing maintenance and services. Andrew went through the overall decline in RNG which was very much supply related. There was also maybe about 5 million gallons that were in the first quarter of 2024 that did not repeat in 2025. We've talked about these gallons that we deliver sometimes outside our network just because we're so prevalent in the RNG market. I guess importantly on this, so that we're really dialed in on what's going on with the RNG, is because we have such a large footprint between our suppliers and our stations and our maintenance customers, we are able to optimize the flow of the available RNG such that our stations, our customers that we're maintaining and delivering RNG are our priorities. That demand, as I said, went up. We're actually up year-over-year in those areas which is why -- which actually did contribute as well to our positive results for the first quarter. Dairies that we have, our joint ventures there, they were also impacted by the cold weather but they do remain on plan with their financial results. And as Andrew noted, we are making good progress in the ramp-up of these dairies. All in all, a good quarter for us in operations and generating cash and we have a strong but continued caution optimism about achieving our plan for 2025. And with that, operator, we'll open the call to questions.
Operator: [Operator Instructions] Our first question will come from Dushyant Ailani with Jefferies.
Dushyant Ailani: I think you just talked about cautioned optimism in hitting your 2025 guide. Could you talk about what would take you to the lower end and then what could take you to the upside?
Andrew Littlefair: Well, Dushyant, let me start. And Bob, feel free to --. Let's see how this tariff shakes out relative to putting some pressure on the future outlook for people buying equipment and buying trucks. We've noticed and if you look at the numbers coming in, there has been a lowered purchasing of heavy-duty trucks in the first quarter. I guess I'm an optimist, Dushyant and believe that we're going to have more clarity on tariffs and that I think that the market will settle down. And you'll see trucking companies begin to increase their purchases as sort of the underlying tariffs begin to get worked out over the course of the year. So that's number one. And that will impact our future outlook in terms of volume growth being contributed by the X15N. Albeit most of that will end up in the very latter part of the year and in early -- in 2026, as we've said. The other is 45Z, depending on how that shakes out, that could end up being a more meaningful number. And then on this legislation, it's too early to tell but we'll know more here in the next few months on if there's some supportive incentives like the RNG Incentive Act. All of those would be significant contributors to us. We still have a very nice underlying relationship between oil and natural gas. That's been very constructive. That helps our underlying fuel business. That's contributing. But we have our eye on that oil price as well. And so I think for the most part, these things can resolve themselves in an optimistic way, Dushyant, that makes us feel comfortable. Now in the very macro market sense of what's happening with sustainability, what's happening with the effort to continue to be green from our customers, we saw this and heard this loud and clear from the ACT conference. Our customers still want to be green but it has to make economic sense. And frankly, with the framework in the Biden Administration of mandates and California mandates, many of which were pushing for battery electric or hydrogen, a lot of those things have been, frankly, are in the process of being unwound. And we believe that RNG is taking its rightful place as a common sense economic alternative fuel and will end up being the main competitive fuel, alternative fuel, low carbon fuel versus renewable diesel and diesel fuel. And so that gives us great optimism. We're in the shakeout phase of that but our customers know it. Those people that went to the ACT conference know it. So that's kind of, Dushyant, how we see the remainder of the year working out.
Dushyant Ailani: That's helpful. And then just one more. I guess, Bob and I know you guys talked about where revenue was largely in line versus last year, despite the loss of AFTC and also volumes coming in a little lower. I think you touched on it briefly on pricing. How do we kind of think about that? I think that that was basically what supported 1Q as well. You had some strong pricing there. Could you talk about how that shakes out for the remainder of the year?
Andrew Littlefair: Bob, go ahead and take that one.
Robert Vreeland: Yes. Okay. I think, Dushyant, I think it would -- at least the way we see it is it would shake out kind of similarly, the remaining quarters, as we are -- assuming there's not some radical change in the underlying commodity of natural gas which can impact our revenues. But I think we see somewhat steady case going forward on that. So we won't have the AFTC but we have -- we still enjoy kind of a nice spread between oil and natural gas, so that's supportive. And we are seeing -- we should continue to see good fleet volumes and our maintenance deals as we did in Q1. So I think that should mean that the revenue number will be kind of in line with where we were in Q1.
Operator: Our next question comes from Eric Stine with Craig-Hallum.
Eric Stine: So you mentioned ACT and I was out there, obviously. One thing I heard kind of loud and clear, obviously a lot of interest, excitement in the X15N but arguably, it is behind schedule versus what Cummins was expecting and others. And I was just hearing a lot about incremental cost. And I know that to this point, you've got PACCAR in the market and Freightliner just opened their order book. Curious your thoughts on maybe the impact that that has, where incremental costs for the X15N or trucks with the X15N have been and what that trend looks like going forward.
Andrew Littlefair: Eric, I want to be careful to air all the dirty laundry of my friends on truck pricing but I think I've said it before which is that as those early trucks, the X15N were launched into the market latter part of last year, we just -- it's no secret. The incremental price was just a bit too high. And by the time you move that from the engine cost and the -- and I think, frankly, in-line fuel system costs. And then you put the OEM mark-up on it and the dealer mark-up on it, I think people got a tad bit carried away. At one point, a very powerful dealer said, well, it's still half the price of the incremental cost of an electric truck. And I said, wait a minute, we don't compete with an electric truck. We compete with a diesel truck. So we work very hard with Cummins. We have a program with Cummins that was joined in by the fuel system folks. And frankly and with our friends at PACCAR to reduce that from as much as $110,000 incremental price to something that's on the way toward $80,000 incremental price or so. What we found, Eric, that an incremental price at around $75,000 to $80,000 with an aggressive but doable fuel price, certainly for us with our network and our ability to supply RNG, you can get the total cost of ownership for the fleet where it needs to be. That is, you can get a fleet somewhere around the 2- to 2.5-year payback. And that's enough to start the discussion of get them to then put in for ordering. Now there's some good news here. The Freightliner, as you mentioned, a product that's come to market, they have a little bit lower price point overall and I think competition is a good thing. So we have seen some initial orders go in for the Freightliner. That price is lower. So I think we're on our way toward where we want to be. I think over time, it's clear that if we can get to something closer to 6,000 units a year, you can drive somewhere between 15% to 20% out of the fuel system cost, too. So we're at early stages. Incremental has been a little high at the initial launch. It is coming down. And so I feel like it's headed in the right direction to get to where we need to be.
Eric Stine: Got it. Good color there. And maybe, you just were talking about kind of the overall environment versus battery and I guess fuel cell's way out and the realization. And obviously the customers are saying that pretty loud and clear. But just curious, from a policy standpoint, I know in California, always enamored with battery electric fuel cells, et cetera and not really RNG in this current environment. Do you see a situation where you could -- you don't necessarily need to have a benefit versus those but at least on equal footing.
Andrew Littlefair: Well, Eric, look, it's kind of tricky right now to go through all the -- bore everybody to tears. But the California ACF, that is the fleet rules that they put in place, that is -- those are gone. And the manufacturer side which required manufacturers to sell 10% battery, that thing, as you probably well know, the Congress voted to clear those out, those policies and the Omnibus rule. Now the Senate hasn't taken up that CRA action yet. There's a question of whether or not they will but I have a feeling that they might. There's some question of whether or not the parliamentarian would think that's appropriate. But there's no doubt, we are working with CARB, that their program is a mess. And what's happening right now when people can't buy an electric or won't buy an electric and there is no requirement anymore, they're buying diesel. They're buying older diesel vehicles. So CARB understands this is not good. We are working with CARB and feel like it makes great sense that RNG should once again or should be a compliant fuel. And so it's not done yet. Those are discussions that are underway. It's different from where in their crystal ball and their sort of theology where they wanted to be. But look, electric doesn't get it. It might on light duty. It doesn't on the heavy duty. There isn't the electricity. The cost is too high. The experience is not right. And the customers weren't going to do it. And so it's been a fiasco, frankly. About 11 of the states that adopted the CARB policies have all back watered on it. So I think that if you want clean air, 90% less Nox and you want lower carbon, RNG will rise to the surface. And we're seeing that now. Those are the discussions that we're having with the policymakers, frankly, at the federal level as well as at the state level.
Operator: Our next question comes from Rob Brown with Lake Street Capital Markets.
Rob Brown: Just wanted to dive in a little bit to the RNG facilities, sort of where you're at in terms of getting those open and running and generating kind of EBITDA. Could you just update us on the time line there?
Andrew Littlefair: Well, one of them has been open a while, Rob and it's producing pretty well and we're steadily increasing the production. So we know there's hope, right? We know that through good operations, you can increase them, get them closer. They're not quite there yet to nameplate. That's our Del Rio facility. The other 5 we have are a little bit behind that trajectory. We had one bad weather problem with one of them. But they're all now in production, albeit not quite to the levels that we want yet. But by the end of the year, we'd like to think that they're going to be 80% of where we thought they should -- kind of in that range. So they're making nice headway. We're making some tinkering with our operators there and we like the way that's going. Two more should be sort of on production toward the end of this year, late. And we're making very nice headway at our South Fork Dairy that's in the Texas Panhandle and we're making good progress, though I don't know it'll be -- it'll be late in the year but our big Idaho facility as well. And then our relationship with Maas, as I mentioned in my remarks, those come on a little later but there -- Daryl Maas is a great operator, he's a great developer and those projects are underway. So these projects still take a little longer than all of us would like. Certainly, the pathway process is cumbersome and slow. Though in a conversation with the chairwoman of CARB the other day, she said help is on the way, that more staff are being brought in to deal with the backlog of pathways. So we like to think that that will help us because some of these have just taken too long to certify the pathway. But it looks like some help is on the way. By the way, Rob, if I can use this to answer your question. One of the other things that from a first question on Dushyant. We think you're going to be through the final stages of cleaning up the administrative problems that CARB had with the moving forward on their new program and think that should get done here by late May. And so that would mean that you'll begin to move forward. And that should work off over time, work off the credit oversupply that we see in California. And that should lead later this year and early next year to a strengthening of the low carbon fuel credit pricing.
Rob Brown: Okay, great. And then as you think about the current environment and how, if at all, does that change your CapEx plans for this year? Are you potentially slowing that at all? Or are you just maintaining the plan as before?
Andrew Littlefair: No, we're being cautious on the RNG side. We've said we've looked at a lot of projects. We've looked at some opportunities to perhaps purchase some RNG projects that are being -- are very close. We're being very careful with looking at that. And so I think it's -- we kind of have -- we have the projects that we're currently developing on RNG funded. We don't see any increases to that right now. We want to get the ones done that we have. We're in a nice position in that we have 90 or so on the way toward 100 with new contracts that aren't -- we're not taking supply yet. We have 100 different suppliers of RNG. So we're in a unique position to have a lot of supply. We have a very nice relationship, joint marketing relationship with BP. So we have a lot of supply that's available. We like our position on the 6 projects that we've got and the new ones that will come on. On the station side, I could see that we might -- not because we put the brakes on, that we might be a little bit lighter on CapEx just on some of the projects tend to get permitted and this and that. It's my hope, though, that as you start seeing some of these really big fleets begin to look at taking more X15Ns and beginning to, if you will, do what Amazon did and start asking us to -- later this year, early next year, you're going to need some CapEx to build out stations. Of course, that's a very nice thing and a very good thing. We're very happy. We'll be very happy if we need to do that. But I would say for the year, Rob, it should come in about what we've said and maybe a bit lighter, a bit lighter. But not because we're worried about the future. Just because of kind of the way the things are -- we're wanting to be careful and be prudent but just because of the way we -- these things sometimes take a little longer to come online than you might think.
Operator: Our next question comes from Derrick Whitfield with Texas Capital.
Derrick Whitfield: Andrew, I wanted to follow up Andrew, on your CARB commentary, just to make sure I'm clear on your understanding of how it's progressing. I mean clearly, this has been far from a straight line. But as you think about where CARB is today, do you think they're going to have final policy in place by June? And do you know if they intend to retroactively apply that policy across the first half of 2025?
Andrew Littlefair: You're right. It's not really a straight line. And I've kind of been wrong on timing a little bit because it's hard to predict. I'm told and we think and CARB staff believes that it should be, that it should be done by June 1 and that -- therefore, it'll be retroactive. Now if it doesn't make the June 1, then there's a question whether or not that they can. But in conversations with senior members of CARB, we've been told that they think that it should. And it looks like through the comment period that I think already came and went on the OPL issue, I think fingers crossed, looks like that's kind of headed in the right direction.
Derrick Whitfield: All right. So fingers crossed there. Maybe staying with you on the policy front, I'd love to get a feel for the support you're hearing from your discussions in D.C., maybe beginning with the RINs. We've heard throughout earnings, there's been a constructive dialogue between ag and the refining sector on the future of biofuels policy. And while I've heard this could lead to a 5.25 billion gallon RVO for bio-based diesels in 2026, we haven't heard that much in the cellulosic category. But setting aside the exemption commentary from last November, do you guys have a view on where the EPA may land on the RVO for the cellulosic category?
Andrew Littlefair: The quick answer is no, we don't. And it wouldn't be right to say that we're having in-depth engagement. We are engaging as an industry. We have had -- participated in some meetings on that. I feel like the administration understands the balance here, understands what's necessary to have a vibrant RFS program, yet they're pulled in several directions. But one of the things I think is constructive is that the Trump Administration seems to understand that we are a biofuel, that RNG cellulosic is from the farm. And it is -- not to be overly political but it is a red state fuel and it is a biofuel. So there's a lot of things we're weighing here but we feel like they'll be constructive but that's about as far as we can go. We haven't heard any numbers on that. I haven't anyway.
Operator: Our next question comes from Matthew Blair with TPH.
Matthew Blair: I was hoping to dig in a little bit more on the strong results in the first quarter. Your RNG volumes came in lower than our modeling and your RIN revenue was also lower. And maybe those two things are connected. But what would you attribute the strong results to? Seasonally, Q1 can also be a little soft and I know there was tough weather in certain parts of the country. So was this just better core fueling margins due to a healthy oil to gas spread or what really pushed things up? And was there anything that was pulled forward into Q1 that really should have been part of Q2?
Robert Vreeland: I'll give it a go on that one, Matthew.
Andrew Littlefair: Go ahead. Go ahead, Bob.
Robert Vreeland: No, I think you kind of hit it there, just the kind of the core fueling. The core fueling and effectively just what our effective pricing and from our stations is what was driving that. The RIN, the lower RIN was connected to the supply and the lower volumes there. But we had actually a pretty strong showing of low carbon fuel going into California, so the LCFS actually did probably better than expected there because that pricing remained under where we had pegged it ultimately to pan out for the year. So it is the -- your kind of underlying base business fueling. And we're seeing -- it's kind of the effect that we've talked about before, too, with this is that we get a gradual incremental increase, incremental flow of volume just because as fleets bring on trucks during the year, then we -- it's all additive. And so that's just kind of progressing through. Pricing remained good. The spread was good. And we're opportunistic with our -- basically how we source. We're good at sourcing cheap natural gas which is feedstock into this, too. So all of that combined, we're a big player. So we've got some leverage there on all that front.
Andrew Littlefair: One other thing, Bob, that I would add is trucking is good, right? The Amazon stations are open and running well and trucking volume is looking pretty good. So that all contributed but the underlying fuel business was strong.
Matthew Blair: Do you think -- is part of it due to a tightening dispensing market? We're hearing from upstream RNG players that it's increasingly tough to place their volumes in the transportation market. The dispensing side is getting tighter and tighter and the rates are going up. Is that playing a role as well?
Robert Vreeland: Starting to.
Andrew Littlefair: Yes, starting. We're seeing that. Go ahead, Bob.
Robert Vreeland: Yes. No, I was just going to say, yes, we are seeing that. I'm not going to say wholesale that -- but yes, we're certainly in a good kind of negotiating position there because the nozzle tips are valuable.
Operator: Our next question comes from Saumya Jain with UBS.
Saumya Jain: Do you guys see any volumes from the transportation sector maybe going towards power generation? Or any update on the data center front? How are you guys looking at that going forward?
Andrew Littlefair: Let me start. I think my number is right. 80% of the RNG goes into transportation and it's the best market. That's what Matthew was getting at is that it's tight. Supply wants to find its way to transportation. It's why we're in an enviable position at the nozzle tip. Of course, some RNG will make its way into power gen. We have not heard of any significant that I'm aware of, though I thought it would be -- eventually, I imagined that RNG would be such a beautiful and relatively effective and easy way to decarbonize AI power generation. When I started hearing that we're going to open up Three Mile Island and build nuclear power plants, I thought to myself, my God, we got to have a better solution than that. So I don't want to say it'll never go into those markets, because I'm a believer in that it ought to go and should go into the market, the hard to decarbonize market which is the heavy-duty trucking sector which is, remember, 40 billion gallons of fuel is used in that sector. And this is where RNG should go. And so still, it's about 80%. We hear of different things. I think some of the regulatory and some of the Washington and regulatory push to force utilities to use renewable sources and some of what we saw over the last couple of years, my guess is some of that'll take a breather. And I think it will make transportation that much more important.
Saumya Jain: Got it. And then could you give some updates on your partnerships with Total, BP, Chevron? How are they progressing? What's the outlook on those types of oil companies?
Andrew Littlefair: Total is still our largest shareholder. They're our partner in our first RNG project. We have a very robust and ongoing and deep relationship with BP. We call it a co-marketing agreement where we work together on RNG hand in glove. When those Archaea volumes were -- if they were to go to transportation, we'd be involved with them on that. So we're very excited about the future of that. So we continue to work with -- BP is our RNG partner on those development projects, the other 5 and the other 2 that I talked about at length, the one in Idaho and South Fork and one in Texas. So we're very -- have a deep relationship with them. Chevron, because the electric truck push, hydrogen truck push, reality's sinking in. We're starting to see a renewed interest in our California RNG Chevron program that has fielded upwards of 350 trucks and put on the road -- funded and put on the road to fuel with RNG. So we've always liked that program with Chevron and we continue to work with them. So that's kind of the status of those 3 relationships, partnerships.
Operator: Our next question comes from Craig Shere with Tuohy Brothers.
Craig Shere: So I'm sorry, did you specify anywhere exactly how much 45Z was in the quarter?
Robert Vreeland: It was a -- no, we didn't. It was really not material, if you will, so we didn't specify it.
Craig Shere: Okay. So, as far as what that could be if that -- after that gets finalized, could you see that competing with, say, current LCFS run rates that you've been seeing as far as quarterly contributions?
Andrew Littlefair: I mean, Craig, it's kind of -- it's all in the detail there, right? You remember the heady days of saying that on a -- with an active correct GREET model with a minus $335. You remember our friend said that it could be worth $7 a gallon and you run all that out, sure, it would be a very strong contributor. Those discussions are underway. Just what -- how will that be measured? If the Congress chooses to keep 45Z in, will they use a GREET model? Will they specify different CI scores for different various types of manure? And just where does that come down? Does it end up being where it is today at $0.90 or $1 or less the energy? Do you get some credit for having a low carbon RNG, in which case it would be more meaningful at $2 or $3, $4? Or does it go way up the scale? So it kind of depends on where that comes out. And look, you've got sort of parallel tracks working. You have a final rule that a new Treasury Department is working on. I talked on this very subject matter about a GREET model and how it was corrupted by the Biden Administration. It's really a shame that you take science and you made it political and you put a bogus GREET model in that final temporary rule 5 days before the inauguration. And that's what we're trying to -- the industry is trying to deal with. And just what does Congress want to do and what does it cost? So, those are all -- it's sort of wild on how that's all going to shake out. I think there's a body of the Congress that understands 45Z and wants it in. They're trying to wrestle with just how they fix it and should they fix it and what does that mean to the ethanol guys and the biofuel guys and what does it mean to the RNG methane guys like us. So that's what's being dealt with. But if anybody were to tell you today that they know exactly how that's going to pan out, it's not quite right. Though I feel like if I was a betting person, I'm thinking that there probably will be a 45Z and that it is probably likely to be better than where it sits right at this moment.
Craig Shere: Got you. And on Rob's question for the upstream, do you have a time line to get to systemically positive upstream numbers, EBITDA there? I know you had one facility, a large facility that you were expensing the development of. So when that comes on, it should flip pretty quick, right?
Robert Vreeland: I don't know that it would flip pretty quick but certainly the projects that -- we have one that's been operating for a while. That will contribute EBITDA. It is. The other 5 will next year but then you've got 2 big projects coming online kind of right at the beginning of the year that are going to go through kind of that OpEx. So individually, these dairies are going to contribute to EBITDA and many of them will in 2026, absolutely. Whether that's going to net to an overall positive as we do our guidance and we kind of have our upstream and our distribution, that we'll have to see how that pencils out once we have them all operating just because we have some -- we have a 37,000 cow dairy that's going to come online, as you know. But they'll get to -- I mean, at least what we're seeing is they're -- with the appropriate yield on the manure and the CI, the methane content, they get there.
Craig Shere: Just to be on the safe side, given what you said, it sounds like second half next year, we should certainly be there.
Robert Vreeland: Yes, on certain farms, on certain dairies and then whether that can overtake. What I'm looking at is do you get a net positive number from the upstream EBITDA when we give our guidance. And that one, we're going to need time to sort that out. But within that number, there absolutely will be positive dairies contributing EBITDA. But as we bring on other -- we got the Daryl Maas one, so there's a little bit of -- certain dairies are going to go EBITDA positive for sure. One of them already is. But the other ones are going to come on and whether they're going to kind of overtake the positive side, we don't know.
Craig Shere: All right. And last kind of big picture one for me. The Trump Administration wants to kind of streamline as much LNG exports as possible. Obviously, that's a real easy way to right-size trade deficits. And at the same time, it seems it wants to flood the world with as much oil as possible from U.S. producers and some of our friends around the world. So obviously, in terms of spreads, in terms of the fuel advantage, if that holds true, so if we have $4, $4.50 Henry Hub and we have $50 Brent -- I'm not saying that's going to happen for sure -- but if those are the concerns and we're not sure, are you hearing any fleet customers express concern, well, we just don't know what the end of the decade looks like on the fuel advantage and these trends and maybe we just wait a bit longer.
Andrew Littlefair: No, we're not hearing that. And Craig, my view on that and I've been right on this. Not to be -- look, it's hard to tell. I completely agree with you on oil. I think you're going to have -- you will have. I mean, look, the President's going to Saudi Arabia. And we've seen this act before. And they're increasing production, OPEC is and so it's going to put downward pressure on world oil price. And yet, our producers have been through this before. And so don't count on them to drill baby drill in the face of $53 oil or $49 on the way to $48 oil. So they get it. They got burned once before on that. So they're going to be careful. So, I think -- could you see a moment when you have a lower oil price? I think so. On the other hand, I've long believed that there's just been too -- this natural gas price has been too high. The United States is just knee-deep in natural gas. And you know this because you follow it closely. The LNG is not moving as quickly. It will. They do want to push a lot out. But $4.50 gas was too high. And sure enough, you saw it come down to $3.50 and $3. So I think you're going to have a spread that won't be on the highest end that we've seen but will still be constructive for us and still able to allow us to price our fuel. Today, Craig, we can price our fuel and make a nice margin and undershoot West Coast diesel by $2 a gallon. Now that will get challenging but you'll still have an opportunity to be in the $1.25 to $1.50 range, cheaper than diesel fuel, almost no matter where you operate in where you're buying diesel in the United States. So we've long -- and I've been giving this speech for 20 years. That's what's different about our fuel versus some of the others is that we have an inherent advantage on the commodity pricing relative to oil on our fuel. And I still feel like that's going to be good for us. Though I don't disagree with you that you might see a -- you may get -- the market may overplay the oil on the downside here in a minute. But I don't believe that the gas is going to be -- you're not going to have $4.50 gas and $40 oil. I don't think that's in the cards. If you did, it would be more of a spike situation, not a longer term.
Operator: Our next question comes from Betty Zhang with Scotiabank.
Betty Zhang: My first one is on M&A. Just curious how you're thinking about M&A these days, whether there are any opportunities or if you are more so looking to build out organically?
Andrew Littlefair: No, I think, Betty, we're looking -- we're being very careful. And I think for good reason, right? We're trying to be careful with our capital. We like our current position. We believe we're getting -- well, we are getting a chance to look at projects that where maybe private equity or some others have tired of projects that are nearly complete or about to be complete. I think given that these projects take a little longer than one would like on the greenfield nature of them, that that is what has us. We're more interested in those kind of projects than putting our precious capital right at this moment, given what we know right today, into greenfield projects. Now having said that, we've looked at them and perhaps there still needs to be a little bit more market therapy before some of those make sense. But we're in a nice position in that we get to look at a lot of projects and we have a team that's smart and looking at them. And so we continue to look at whether or not there are some projects that would be finished that we could add in. But we haven't really found those that make sense yet.
Betty Zhang: That's helpful. And I wanted to ask -- so for the first quarter, obviously volumes were a bit lower than we expected and you guys had talked about that. But I'm curious for the full year 2025, the $246 million target, is that still achievable? How are you thinking about that?
Andrew Littlefair: Betty, the way I look at that is we'll be close to that. Financially, even if we're a bit shy of the $246 million, we'll close on that number. We may not get there but we'll be in the range. But financially, we'll be -- I think we'll end up probably being even better than hitting the $246 million because we're liking the way that's shaping up. So the next part of the year, we'll close. Whether or not we get exactly there, hard to tell at this moment but we'll get within very close range of it.
Operator: Our next question comes from Jason Gabelman with TD Cowen.
Jason Gabelman: I know you said you started repurchasing stock again. And I'm just wondering as you think about capital allocation, how you're determining funds to go towards the buyback. Is it more organic cash flow? Is it using cash from the balance sheet? And how comfortable are you with -- or I should say, where are you comfortable taking the cash balance to support the buyback?
Andrew Littlefair: Yes. I'll let Bob kind of get into maybe the detail. He has some thoughts on this. Look, we believe our stock is really undervalued. And we wanted to put some capital to use to support the stock and believe it's a good buy. And so that's why we've done it and probably will continue to do it at these levels. But we're being prudent about it. Bob, do you want to give a little more color on it?
Robert Vreeland: Yes. I mean, Jason, we're basically just kind of -- we reinstated a program that we already had in place. So it's not just an unlimited and real subjective of how far do you go. We had about $26 million available from a prior approval that we got from the Board and everyone and we just put that back in place. And so we'll see how far we go within that perimeter, if you will. So there is a little bit of maybe a cap that you would say before we would have to get some other approvals. So it's a bit programmatically done, okay, in terms of how we get in, when we get in and how that's done. You have blackout periods, all that stuff you got to kind of orchestrate around.
Jason Gabelman: Got it. And my other question is, I think you mentioned you're in D.C. kind of supporting another bill that supports RNG. Can you just remind us what that bill exactly entails?
Andrew Littlefair: Yes. That bill is called the RNG Incentive Act, was introduced in both houses of the Senate. It was the one that we started a couple of years ago. Every time you have a new Congress, you have to reintroduce a bill from the previous Congress. So that's the Incentive Act. It was introduced by Brian Fitzpatrick and Sanchez and Thom Tillis in the Senate and Senator Mark Warner. That's $1 a gallon at the nozzle tip, RNG.
Jason Gabelman: Got it.
Andrew Littlefair: I sort of see it as a modern-day re-up of the AFTC. And look, let's be honest. They're looking to take stuff out right now and they're adding a lot of stuff in. There will be incentives put in this bill. But this is a pretty wild time up here. And so it's -- nothing easy about this. But I like the fact that we have a bipartisan bill. I think it can be cost effective. And one of the strengths of it is it really is an economic -- it's economic development. It helps in rural Americas. It helps the farmer because it's RNG. So it's -- we're seeing some interest. Let's put it -- let's leave it there.
Operator: It appears we have no further questions at this time. I would now like to turn the program back over to Andrew Littlefair for any additional or closing remarks.
Andrew Littlefair: Good. Well, thank you operator and thank you everyone for joining the call today. We look forward to filling you in next quarter on how we're doing. Thank you. Good day.
Operator: Thank you ladies and gentlemen. This does conclude today's event. You may now disconnect.